Operator: Welcome to the Alnylam Pharmaceuticals Conference Call to Discuss Third Quarter 2016 Financial Results. There will be a question-and-answer session to follow. Please be advised that this call is being taped at the Company's request. I would now like to turn the call over to the Company.
Christine Lindenboom: Thank you and good afternoon. I'm Christine Lindenboom, Vice President of Investor Relations and Corporate Communications at Alnylam. With me today are John Maraganore, Chief Executive Officer; Barry Greene, President; Akshay Vaishnaw, Executive Vice President of R&D and Chief Medical Officer; and Michael Mason, Vice President of Finance and Treasurer. In addition, Yvonne Greenstreet, Executive VP, Chief Operating Officer and DA Gros, Senior VP, Chief Business Officer, are in the room and available for Q&A. For those of you participating via conference call, the slides we have made available via webcast can also be accessed by going to the Investor page of our website, www.alnylam.com. During today's call, as outlined in slide 2, John will provide some introductory remarks and provide some general context; Akshay will review recent clinical updates; Michael will review our financials; and Barry will provide a brief summary of upcoming milestones before opening the call for your questions. Before we begin, I would like to remind you that this call will contain remarks concerning Alnylam's future expectations, plans and prospects which constitute forward-looking statements for the purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our most recent quarter report on file with the SEC. In addition, any forward-looking statements represent our views only as of the date of this recording and should not be relied upon as representing our views on any subsequent date. We specifically disclaim any obligation to update such statements except as may be required by law. With that, I would like to turn the call over to John.
John Maraganore: Thanks, Christine and thank you, everyone, for joining us this afternoon. During the third quarter and recent period, we made important progress in advancing RNAi therapeutics through clinical trials and toward the market while also experiencing an unfortunate setback. Specifically, as you know, we announced in early October that we discontinued development of revusiran, an investigational RNAi therapeutic that was in development for the treatment of hereditary ATTR amyloidosis with cardiomyopathy or hATTR-CM. Akshay will provide more color on this development and we'll also review our recent pipeline progress in more detail. But I would like to provide some introductory context for the call this afternoon. First, following our announcement that we were discontinuing revusiran, we set up an internal team and initiated a comprehensive evaluation of the revusiran data. This type of investigation takes time and there remains uncertainty regarding the cause of the findings that led to the program's discontinuation. As a result, there are many questions that we're simply not able to answer at this point. We will provide a brief update today and then we'll update you on our progress at our upcoming R&D day on December 16. However, to manage expectations, please realize that in the evaluation of this type is not measured in days or weeks, but rather in months and we want to gain as complete a picture as possible before we share any results with you. It is important to emphasize the decision to discontinue development of revusiran does not impact any other Alnylam investigational RNAi therapeutic program in development. As a reminder, revusiran was the only program that used our standard template chemistry, GalNAc delivery technology. Patisiran utilizes a lipid nanoparticle delivery formulation and there are seven other clinical programs in Alnylam's pipeline that use our enhanced stabilization chemistry or ESC GalNAc delivery technology which enables doses and exposure levels that are 12 to 30 times lower than revusiran. Outside of our revusiran Phase 2 open label study, based on a current assessment, we have no evidence of a drug-related neuropathy or cardiovascular mortality signal in our safety experience of over 800 subjects or patients in nine distinct clinical programs with exposure of up to 34 months of dosing. Second, we continue to advance patisiran for the treatment of hereditary ATTR amyloidosis with polyneuropathy or hATTR-PN and we very much look forward to reading out data from the APOLLO Phase 3 study in the middle of 2017, less than one year from now. To that end, we were very pleased with the recent recommendation from the APOLLO data monitoring committee to continue dosing in the trial without modification. We also announced in our press release today that we have initiated our patisiran expanded access protocol. We view this as great news for patients with hTTR-PN for whom there is a great need for novel therapies and we're pleased to provide an opportunity for eligible patients to receive patisiran treatment until the drug becomes commercially available, assuming regulatory approval. Third, we're looking forward to a wealth of clinical data between now and the end of the year, including data from our PCSsc, patisiran, AS1, CC5 and TTRsc02 programs. We believe these results will provide evidence for why we at Alnylam remain excited about the prospect for RNAi therapeutics as a whole new class of innovative medicines. We also believe these results will provide continued safety data around our overall platform in the context of the benefit-risk in the high unmet indications where we're advancing our investigational medicines. Finally, we're all about perseverant scientific pioneering here at Alnylam. We recently celebrated the tenth anniversary of the Nobel Prize awarded to Fire and Mello for the discovery of RNAi. It is very, very rare to see Nobel prizewinning science become a whole new class of innovative medicines and it is certainly not easy. To that end, I invite you to hear more about our story in the new microsite called From Possibility to Patients on our website at www.alnylam.com. As you hear the story told by our employees and founders, I think you will learn that we're all in on advancing RNAi therapeutics. You'll hear that we have navigated through days of unbridled enthusiasm and days of external skepticism, but through all of these days, both good and bad, we never internally wavered in our commitment to patients and in our confidence that we can potentially make a transformational difference in their lives with our medicines. Today, our resolve remains stronger than ever. Now, with those introductory comments, I'd like to now turn the call over to Akshay to review our pipeline progress in more detail. Akshay?
Akshay Vaishnaw: Thanks, John and good afternoon, everyone. Notwithstanding the revusiran setback, we have otherwise continued to make strong progress with our pipeline of investigational RNAi therapeutics. Let's begin with an update on revusiran. As a reminder, revusiran was being developed for the treatment of hATTR cardiomyopathy. This is an inherited, progressive, life-threatening disease due to a mutation in the transthyretin gene which causes misfolded TTR proteins to accumulate as amyloid fibrils primarily in the heart and nerves. Hereditary ATTR amyloidosis with cardiomyopathy can result in heart failure and death. This disease has very high morbidity and mortality. Median survival is about 2.5 years and there are no approved therapies for treatment of the disease. A double heart and liver transplant is the only current treatment option. Revusiran was being explored in three clinical trials, including the Phase 2 OLE study, the Phase 3 ENDEAVOUR study and the Phase 2 open label study in hATTR amyloidosis patients who have disease progression post [indiscernible] a liver transplant. Following recent reports of new onset or worsening peripheral neuropathy and elevated blood lactate levels in the Phase 2 early study, we asked the ENDEAVOUR DMC to review unblinded safety data. Specifically, the questions we asked were threefold, one, Have you seen any evidence of drug-related peripheral neuropathy in ENDEAVOUR? Two, Does the benefit-risk profile of revusiran justify continued dosing in the trial? And three, If the answer is yes, is there any additional monitoring you would recommend we implement in the trial going forward? The DMC came back to us and informed us that there was no conclusive evidence of drug-related peripheral neuropathy but recommended that we stopped dosing based on a lack of benefit-risk. Upon receiving the DMC's recommendation and reviewing the unblinded data which revealed an imbalance in mortality in the revusiran arm, the Company stopped dosing in all three ongoing studies and made the decision to discontinue further development of revusiran. As John noted earlier, we have established a team to evaluate all the revusiran data. To the extent possible, we intend to provide you with an update on our progress at our upcoming R&D day in December, but you should expect that our evaluation may take months to reach conclusive results, if any. In the meantime, I'd like to provide a little more color on the mortality in the ENDEAVOUR Phase 3 trial. As we noted previously, as of October 4, there were 18 deaths out of the 206 patients enrolled in the trial, a rate of 8.7% which is line with the national history of this disease. As a reminder, the ENDEAVOUR trial had a randomization of 2-to-1 drug-to-placebo. Therefore, with a perfectly balanced distribution you would expect to have 12 deaths in patients who were receiving revusiran and 6 in patients who were on placebo; however, the 18 deaths were comprised of 16 patients in the revusiran arm and 2 patients in the placebo arm. I can also provide some context around these patients. The 16 revusiran patients who died had been on study between 2 and 16 months, ranged from 56 to 82 years in age at study entry and all had advanced heart failure. Six were New York Heart Association Class II and 10 were New York Heart Association Class III. In addition, nearly all of these deaths in this heart failure population were cardiovascular in nature, most often due to worsening heart failure. None of the individual event was considered related to study drug by the investigator at the time of our review. Non-cardiovascular causes of death included a patient with an infected pleural effusion and a patient on Coumadin with aspiration pneumonia after suffering a traumatic brain hemorrhage following a fall. As part of the mortality evaluation, the Kaplan-Meier analysis was carried out and it is confirmed that the imbalance was statistically significant with a p-value of less than 0.05. The observed imbalance in mortality supported our decision to stop dosing in ENDEAVOUR and discontinue the program, as patient safety remains our highest priority. Soon after our announcement we contacted all sites to ensure that we had accurately captured all deaths in our database on October 4. From that sweep of October 8, we learned of another death which was also in a patient who did receive revusiran while on study. We're still gathering details regarding this case, although this finding does not change the original conclusion regarding an imbalance in mortality. As noted earlier, the DMC did not find any conclusive evidence for drug-induced neuropathy signaling the study. As I said earlier, we intend to thoroughly evaluate the revusiran data including baseline characteristics, cost of medication and many other factors that may have contributed to this unfortunate result. Importantly, we will continue to monitor the ENDEAVOUR patients and collect additional data as warranted as part of the safety follow-up. As John stated, we intend to share further results with you when we have the more complete picture. But you should expect that this will take some time. So, what, then, does this mean for our pipeline and platform? For starters, patisiran uses our lipid nanoparticle or LNP delivery technology and the promising Phase 2 early data out to nearly three years of dosing and recent DMP recommendation to continue APOLLO give us strong encouragement. Also of note, patisiran uses limited stabilization chemistry, so encapsulation of patisiran in the lipid nanoparticle to protect it from degradation. Turning to our GalNAc conjugate platform, it is important to keep in mind the differences in exposure levels for revusiran of standard template chemistry or STC GalNAc conjugate as compared to our pipeline program that utilizes enhanced stabilization chemistry or ESC GalNAc conjugate technology, including drugs such as patisiran, PCSsc, CC5 and AS1. In the graph on the left-hand side of slide 8, you can see that revusiran required dose level that result in an annualized exposure that is 12 to 30 times greater than the rest of the program included here. On the right-hand side of the slide you can see that the equivalent years of exposure for ESC-GalNAc conjugate as compared to single year of revusiran exposure ranges from 12 to 48 years. Moreover, revusiran is more metabolically labile than our ESC-GalNAc conjugate and the exposure difference is related to siRNA metabolites could be even greater, perhaps by another tenfold. Of course, despite the substantial exposure differences, we will always be vigilant on safety. Moreover, we have completed a comprehensive review of our entire safety database of over 800 subjects or patients in our RNAi therapeutics program excluding revusiran. Overall, we're encouraged by these safety findings with patients on patisiran out to nearly three years of dosing and patients on an ESC-GalNAc conjugate, namely, fitusiran, out to approximately 16 months of dosing. We're also encouraged by the recent top line results from our colleagues at The Medicines Company of the ORION-1 Phase 2 study of ALN--PCSsc in 501 patients with atherosclerotic cardiovascular disease or ASCVD, as an at-risk cardiovascular disease population. We will summarize our overall Phase 2 data at our upcoming R&D day next month. The early notable findings to date include an approximately 5% incidents of sporadic, asymptomatic and reversible elevations in LFTs, over three times the upper limit of normal and a low incidence of mild to moderate self-limiting injection site reactions or ISRs. We believe these are safety findings, but as we expected for a liver-targeted subcutaneously administered investigational medicine. Moreover, we believe that the overall profile emerging from that clinical study is supported by the benefit-risk in the very high unmet need clinical indication that we're focused on in our pipeline. Let me now turn to an update on the rest of the pipeline, where we have made very encouraging progress in the last several months. Starting with patisiran, our most advanced pipeline program which we're developing for the treatment of heredity ATTR amyloidosis with polyneuropathy or hATTR-PN. At the ISA meeting in July, we reported initial 24-month data from our open label extension or OLE study. These results continue to provide evidence that patisiran administration has the potential to halt or improve neuropathy progression in patients with hATTR-PN. Specifically as shown on slide 9, our new data showed a mean 6.7-point decrease in mNIS+7 at 24 months in the 24 patients with data available for this current analysis. This compares very favorably to an expected mean increase in mNIS+7 of 26 to 30 points at 24 months, estimated from analyses of historical datasets in untreated hATTR-PN patients with similar baseline characteristics. But 71% of patients had either an improvement or no change in their mNIS+7 at 24 months. The maximal individual improvement in mNIS+7 was a decrease of 35 points. We continue to be very encouraged by the generally favorable safety profile we've seen with patisiran with treatment out to 25 months as presented at ISA. SAEs were reported in 6 patients and all that reported as unrelated to study drug. The majority of reported adverse events were mild to moderate. We're very pleased with our results of this [indiscernible] TTR knockdown with patisiran has the potential to halt or even improve neuropathy progression and we believe these results bode well for our APOLLO Phase 3 trial. In that regard, we were pleased with the recent recommendation by the APOLLO data monitoring committee to continue dosing in APOLLO without modification. We're on track to report top line data from APOLLO in less than a year from now, in mid-2017. Assuming positive data from APOLLO, we expect to file our first regulatory application for approval in late 2017. Moving now to our fitusiran program for the treatment of hemophilia and rare bleeding disorders, we have continued to make great progress with this program. Fitusiran is designed to lower levels of antithrombin with a goal of promoting sufficient thrombin generation to restore hemostasis thereby preventing bleeding in patients with hemophilia. We believe that fitusiran is a once-monthly low volume, fixed dose, subcutaneous prophylactic treatment option that could be shown to provide durable and consistent bleed protection without the risk of anti-drug antibodies and without the peaks and troughs that occur with factor replacement, has the potential to positively change the paradigm of hemophilia treatment. At the World Federation of Hemophilia meeting in July, as shown on slide 11, we presented interim Phase 1 data to show that monthly subcutaneous dosing with fitusiran achieved dose-dependent AE lowering, increases in thrombin generation and a median estimated annualized bleed rate of zero in patients without inhibitors. Furthermore, in the initial low-dose cohort of patients with inhibitors where patients received a once-monthly fixed dose of 50 milligram, fitusiran achieved antithrombin lowering, increased thrombin generation and preliminary evidence of reduced bleeding. We have enrolled an additional cohort of inhibitor patients at a higher dose of 80 milligrams, so it will be of interest to see how fitusiran performs in these patients, as well as seeing longer follow-up on the 50 milligram cohort. In addition, we have been actively enrolling both inhibitor and noninhibitor patients into a Phase 1-2 OLE study, but patients have now received up to 16 months of dosing. We look forward to sharing data from these studies at the ASH conference in December. We also remain encouraged by the safety profile of fitusiran as reported at WFH, fitusiran administration was generally well tolerated in patients with and without inhibitor, with no SAEs related to study drug and no thromboembolic event on laboratory evidence of pathologic clot formation through the data transfer date. One patient discontinued due to a severe AED possibly related to drug, an event noncardiac chest pain that resolved with symptomatic management using analgesic and antacid. As we announced at WFH, we updated our Phase 3 guide following initial constructive discussions with U.S. and European regulators and we remain on track to begin clinical trials of fitusiran in early 2017. Let's now turn to the latest progress from our ALN-AS1 program in development for the treatment of acute hepatic porphyria, a family of ultra-rare orphan diseases with enormous unmet need. ALN-AS1 targets the protein ALAS-1, an enzyme in the heme biosynthesis pathway that is up-regulated in porphyria resulting in the accumulation of toxic heme synthesis intermediates ALA and PBG which drive the symptoms with porphyria attacks. By targeting ALAS-1, we aim to decrease flux through the pathway, reduce levels of ALA and PBG and consequently reduce porphyria attacks. At the SSIEM meeting in September, as highlighted on slide 12, we presented complete data for Parts A and B of our Phase 1 study in so-called asymptomatic high excreter, ASHE subjects. These subjects have a mutation in the porphobilinogen deaminase gene as found in acute intermittent porphyria and have elevated levels of upstream toxic intermediate ALA and PBG that mediate porphyria attacks. Results demonstrated a single and once-monthly subcutaneous administration of ALN-AS1 achieved rapid, dose-dependent and durable lowering of ALA and PBG. ALN--AS1 was found to be generally well tolerated as of the transfer date. There were three SAEs reported, all deemed due to be unlikely related to study drug. With the exception of one nondrug-related severe AE, all other AEs were mild or moderate in severity. Two mild and transient injection site reactions were reported and there were no clinically significant changes in vital signs, ECGs, clinical laboratory parameters or physical examination. We're currently conducting Part C of the Phase 1 study in symptomatic porphyria patients with recurrent attack and plan to present initial data from this part of the study at ASH. If these Phase 1 data are positive, we plan to advance to a Phase 3 trial in 2017. In the third quarter we were also pleased to reported initial clinical data with ALN-GO1, an investigational RNAi therapeutic for the treatment of primary hyperoxaluria type 1 or PH1. In PH1 patients, the mutation in the glyoxylate metabolic pathway result in the deposition of calcium oxalate crystals in the kidneys and urinary tract and can lead to the formation of recurrent and often painful kidney stones, as well as significant renal damage. Current treatments are very limited and include frequent renal dialysis or a dual liver and kidney transplant, as no approved pharmaceutical options currently exist. Initial results presented at the IPNA meeting were from the single ascending dose arm of the Phase 1 study performed in healthy human volunteers and showed the single dose of ALN-GO1 resulted in dose-dependent increases in plasma and urine glycolate. Glycolate is the substrate used by the GO enzyme to produce excessive oxalate in patients with PH1. Thus, glycolate serves as a biomarker for effective GO knockdown. These data therefore provide preliminary human proof of concept for the program. ALN-GO1 was also found to be generally well tolerated with no FAEs reported through the safety data transfer. Soon we plan to move into the next part of the Phase 1 study in which we will dose patients with PH1 and look forward to seeing additional data likely in 2017. Finally, as I wrap up with the recent update we provided on our alpha-1 antitrypsin program. At the OTS meeting in September, we presented data from a Phase 1 trial in ALN-AAT for the treatment of AAT deficiency associated liver disease. Patients with this disease develop a profound liver fibrosis leading to sclerotic liver and eventually hepatocellular carcinoma. Results in the healthy volunteers showed that ALN-AAT administration provided dose-dependent and durable knockdown of serum AAT. ALN-AAT was shown to be generally well tolerated in healthy adult volunteers with no drug-related SAEs, discontinuations or injection site reactions reported. However, three instances of asymptomatic transient elevations of liver enzymes were detected in the high dose groups. Based on our understanding siRNA mediated liver toxicity in preclinical animal studies, we believe that these results were sequence dependent. While we were able to establish a lower effective dose without an LFT elevation, given that the target population has established liver disease, we decided to generate the new development candidate with a different sequence for further development in this indication. In summary, while we have had setbacks in two programs this quarter and the recent period, we're continuing to make excellent progress on our overall RNAi therapeutic pipeline with eight clinical stage programs. Given the ups and downs that are an inherent part of drug development, we believe that having a portfolio of opportunities is crucial in bringing important new medicines to patients. And with that I'll now turn the call over to Michael for a review of our financials. Michael?
Michael Mason: Thanks, Akshay. I will be referring to slide 16 for a discussion of our third quarter 2016 financial results. We continue to maintain a very strong balance sheet, ending the third quarter of 2016 with approximately $1.2 billion in cash as compared to $1.28 billion at December 31, 2015. Our financial strength allows us to continue to invest in a broad pipeline of investigational RNAi therapeutics aligned with achieving our Alnylam 2020 goal. As for financial guidance this year, we remain on track to end 2016 with greater than $1 billion in cash, including $150 million in restricted investments. The GAAP net loss for the third quarter of 2016 was $104.1 million or $1.21 per share on both a basic and diluted basis, including $15.6 million or $0.18 per share of noncash stock-based compensation expense as compared to a net loss of $76.8 million or $0.91 per share on both a basic and diluted basis, including $11.8 million or $0.14 per share of noncash stock-based compensation expense for the same period in the previous year. Revenues were $13.7 million for the third quarter of 2016 compared to $6.3 million for the same period last year. Revenues for the third quarter of 2016 included $7.4 million from our alliance with Sanofi Genzyme, $2.7 million from our alliance with The Medicines Company and $3.6 million from other sources. We expect net revenues from collaborators to increase during the fourth quarter of 2016 due primarily to an expected increase in revenues from Sanofi Genzyme. R&D expenses were $97.9 million in the third quarter of 2016 which included $9.3 million of noncash stock-based compensation as compared to $68.6 million in the third quarter of 2015 which included $6.3 million of noncash stock-based compensation. The increase in R&D expenses as compared to the prior year period was due primarily to the higher clinical trial and manufacturing expenses resulting from the advancement of our genetics medicines pipeline. In addition, compensation and related expenses and noncash stock-based compensation expenses increased during the quarter as compared to the same period in 2015, resulting from an increase in headcount during the period as we continue to advance and expand our development pipeline. We expect that during the fourth quarter of 2016, R&D expenses will increase slightly as compared to the third quarter of 2016 as we continue to develop our pipeline and advance our product candidates. However, we expect that such success will be variable on a quarterly basis depending on the timing of manufacturing batches, clinical trial enrollment and progress, regulatory review of our product candidates and noncash stock-based compensation expenses. Finally, G&A expenses were $22.4 million in the third quarter of 2016 which included $6.2 million of noncash stock-based compensation as compared to $16 million in the third quarter of 2015 which included $5.5 million of noncash stock-based compensation. G&A expenses increased relative to the same period of 2015 due primarily to an increase in compensation-related expenses due to an increase in headcount. We expect that G&A expenses during the fourth quarter of 2016 will remain relatively consistent with the third quarter of 2016. I will now turn the call over to Barry.
Barry Greene: Thanks, Michael. Let's now turn to our 2015 goals and our guidance on upcoming data presentations. With our fitusiran program as reported, we reached full enrollment in our APOLLO Phase 3 study. We look forward to reporting data from APOLLO in mid-2017, less than one year from now. Assuming positive data, we expect APOLLO will enable possible NDA submission by the end of 2017, putting us in a position to potentially launch our first commercial product in 2018. Regarding ALN--PCSsc or as our partners at The Medicines Company call it, PCSK9si, initial data from ORION-1 Phase 2 study will be presented at AHA on November 15. Now with fitusiran for hemophilia, we will have two presentations at the upcoming ASH conference in December -- one covering data in patients without inhibitors and the other covering data in patients with an inhibitor. Each of these presentations will include data from the Phase 1 study as well as from the Phase 1-2 open label extension study. Also at ASH we will have additional data with ALN-AS1. This dataset will provide an initial look at the effect of ALN-AS1 in patients with recurrent porphyria attacks. We plan to present all the data from this study that we have at the time and we will be looking for lowering of ALA and PBG levels in these patients, as well as safety. We expect further data on the effects of ALN-AS1 on recurrent attack to be available in the 2017 time frame. Also at ASH we will present additional follow-up data from our Phase 1-2 trial of ALN-CC5 in patients with PNH, where we have been exploring the potential for ALN-CC5 to treat inadequate eculizumab responders and/or spare the dose frequency of burden of eculizumab infusions. Now, moving to ALN-TTRsc02, a second-generation GalNAc ESC conjugate targeting transthyretin for all forms of ATT amyloidosis, we plan to report initial data from the ongoing Phase 1 study at our R&D day on December 16. We also continue enrolling subjects in our Phase 1-2 trial of ALN-HBV in development for the treatment of chronic HBV infection and we look forward to sharing initial data from that trial in mid-2017. As Michael said, we continue to expect to end 2016 with greater than $1 billion in cash. We look forward to sharing more updates from our pipeline between now and the end of the year. And with that I'll now turn the call back to Christine to coordinate our Q&A. Christine?
Christine Lindenboom: Thank you, Barry. Operator, we will now open the call for questions. As a reminder to those dialing in, we would like to ask you to limit your questions to two each.
Operator: [Operator Instructions]. And our first question comes from Ritu Baral from Cowen. Your line is open.
Ritu Baral: The first question is on the DSMB look that you've taken both in ENDEAVOUR and APOLLO. When you ask the ENDEAVOUR DSMB on benefit-risk, were they unblinded to the efficacy data when making that evaluation?
John Maraganore: Yes. So, Ritu, they did not have any efficacy data when they made that evaluation. They simply had the safety data unblinded, so they were looking at the overall safety profile and, of course, the benefit side of that, of course, wasn't included in their look, but they were certainly aware of the Phase 2 open label data where admittedly there wasn't a signal like we have with patisiran of any benefit. Anything else to add to that?
Akshay Vaishnaw: I think you covered it, John.
Ritu Baral: Okay. So, the benefit portion was informed by the Phase 2 open label that we've all seen, but nothing in ENDEAVOUR, okay.
John Maraganore: Yes, that's correct.
Ritu Baral: Okay. And then can you detail -- a second part of that question, can you detail what questions you asked the APOLLO DSMB, the same way that you asked the ENDEAVOUR DSMB?
Akshay Vaishnaw: Yes, I can't quote verbatim, but essentially they were informed of the findings from the ENDEAVOUR study and they were asked to review the data from the APOLLO study for mortality imbalance and whether any modifications were required and they came back with the notification that the study could continue unmodified.
Ritu Baral: Did you ask them very specifically about the blood lactate elevations or peripheral neuropathy?
Akshay Vaishnaw: The questions we posed to them were in connection with mortality imbalance, as I outlined. I mean, Ritu, for what it's worth, of course the Phase 3 database is blinded and so forth and we can't read that out, but you'll note that we've had the Phase 2 early study running for several years now and we've never reported any serum lactate elevations there with respect to those 25-odd patients.
Ritu Baral: Right. So, moving to what you're going to have at ASH specifically with fitusiran, can you give us any more detail about the patient counts, the duration of treatment and the doses that you might be presenting in the inhibitor and noninhibitor patients?
John Maraganore: Let me give you some color. So, the two studies, the two different reports, without inhibitors and with inhibitors, right? So, in the group without inhibitors, that is going to be the first time you see results from our Phase 2 open label study. So, those are the patients that have rolled over, patients without inhibitors that have rolled over from Part C and have gone into the new protocol. And so these patients, of course, have been receiving two different dose levels -- 50 milligrams monthly, 80 milligrams monthly is the other dose and these patients have been treated now out to, up to 16 months of treatment. So, we'll have all those data looking at bleeding, looking at antithrombin knockdown, safety, of course, very important. And then the other study in the inhibitor population is actually a cohort of approximately 15 patients now that are in that study and it includes patients with, obviously patients with inhibitors in all cases and there we will report on knockdown, safety, thrombin generation increases and bleed rate data.
Ritu Baral: And that's from the 50 and the 80 monthly dose?
John Maraganore: That's correct. That will include both 50 and 80 milligram data.
Ritu Baral: How long of treatment duration we have from the 80 dose?
John Maraganore: Well in the open label study it goes on for, you know, many, many months. In the inhibitor study it's a little bit more limited because the 80 milligram cohort was only initiated back in July.
Operator: Thank you. Our next question comes from Geoff Meacham from Barclays. Your line is open.
Geoff Meacham: I also wanted to follow up on fitusiran. If you guys look at the competition here, I'm just trying to think what could be even more differentiated commercially? Is it possible to get to quarterly dosing? I'm not sure what you have to show PK-wise or safety-wise to get there?
John Maraganore: Yes, great question, Geoff. Look, we're currently focused on the monthly dose regimen, but we do acknowledge that the durability of our platform allows us to envisage less frequent dosing. And we'll generate data in due course over time to support that potentially as part of lifecycle management for the program. But right now the focus really is on monthly dosing with the product.
Barry Greene: And, Geoff, let me just jump in. The most important thing, as you are aware, for people with hemophilia to not bleed and they're challenged with factor, even longer-acting factor on peak-and-trough levels. We'll share data at ASH, but as you've seen, we've got fairly clamped pharmacology and if that confers lack of bleed, that is probably the best thing for these patients. The fact that it's a low volume monthly dosing, assuming safety, it's hugely a benefit as well. But it's very important that they don't bleed.
Geoff Meacham: And just to follow up on the APOLLO study, maybe just walk us through kind of what the gaiting factors are provided the trial is successful. What needs to be done to get the NDA and EMA done pretty rapid turnaround?
Akshay Vaishnaw: Yes. Well, the most important thing is that we do a formal database log once the last patient has completed the last visit and we have rigorous NTCB compliant database and we will conduct the necessary regulatory meetings in parallel with that and share data with regulators. And that will then lead to -- a lot of this will, of course, is not sequential, it is going on in parallel in various workstreams and that will lead to right up with the NDA both -- across all elements from the manufacturing, the preclinical, the clinical research, etc. And that's essentially the key body of work that would lead to the NDA and EMA submission here and in Europe.
Geoff Meacham: I wasn't as clear given the patisiran development, has the safety or sort of tolerability or toxicity kind of request do you think changed when you think about the filing for patisiran?
Akshay Vaishnaw: No, we don't believe so, because as we've shared on publications in the past, with progressive data that is coming from the patisiran phase early, that patisiran tolerability has looked encouraging to date. On the efficacy side, from the single arm open label study, we've had a lot of interesting and encouraging news with respect to stabilization and regression of neuropathy. And I think that all bodes well for the APOLLO Phase 3 data that we talk about the DMC, encouragement that we received recently as well. And so I think that drug is unto itself is not the hypothesis that patisiran [indiscernible] TTR knockdown and confirmed benefit in neuropathy is still very much alive and we feel very encouraged. So, that all we brought together and submit as part of the NDA.
John Maraganore: I was just going to add, Geoff, that we -- Akshay's earlier comments on what we're doing, many parts of the NDA or many of the datasets needed for the NDA are already complete. And so we're very much focused on that submission in a very timely manner.
Operator: Thank you. Our next question comes from Alethia Young from Credit Suisse. Your line is open.
Alethia Young: I just wanted to go back to revusiran since people didn't ask in the beginning. Are you now thinking that probably the drug didn't have enough efficacy and these people are really in a bad condition? And can you just comment if there is any kind of commonality or anything you saw in concomitant medications that were used in that study so far?
Akshay Vaishnaw: Yes. I mean, Alethia, certainly the Phase 2 of the open label extension study for revusiran hadn't given any clear efficacy signal, as we all know and contrast rather significantly to the patisiran [indiscernible] study with the neuropathy data being quite encouraging. And so at the time that the revusiran studies were terminated, there was no clear efficacy signal. I think it's fair to say that and moreover we have the imbalance and mortality and the causes for that, of course, could be lesion. And I think as you and others have discussed with us in the past, one of them could just be a simple baseline imbalance due to what is a severe cardiac disease with a mortality of median of two and a half years. And so that baseline imbalance could result in this kind of an outcome, but that could interplay with many other factors including other comorbidities of concomitant drugs or drug-drug interactions. Remember, these patients are elderly, many of them on 5 to 10 drugs and so it's a complicated picture we're going to have to work through. And as far as the concomitant medications are concerned, it will be the usual litany of diuretics, inotropes and anti-arrhythmics that unfortunately these patients need to take. And some of the complicated drugs like amiodarone are protein bound and their PK changes rapidly if the degree of protein binding is altered. And so all of this needs to be gone through carefully for us to evaluate what happened here to lead to this drug's striking imbalance in mortality.
Alethia Young: And then just on hemophilia, have you guys had the end of Phase 2 meeting to make sure that you're on track for the early 2017 start?
John Maraganore: Yes, Alethia, we've had a range of interactions with FDA and EMA during the course of this year. We have one more round with each, but we very much are feeling on track with our early 2017 start. Just as a reminder, early in our guidance is Q1 and Q2, so we're going to hit that start date, but we're very much focused on it and we're excited about the program and moving along with our discussions to get it started.
Alethia Young: And just a follow-up. Like did they -- are they like discussing in context of your other, so like the revusiran study or patisiran or do they kind of look at it in a vacuum?
John Maraganore: No. They have not. They obviously understand this package. Patisiran is a stand-alone program and that's how they look at it.
Operator: Thank you. Our next question is from Anupam Rama from JPMorgan. Your line is now open.
Unidentified Analyst: This is Hugo [ph] on the call for Anupam. Thank you for taking our questions. Is the natural history of FAP with cardiac disease different in patients who have FAP?
Akshay Vaishnaw: You know, essentially, it's hard to look at the cardiac mortality and morbidity in isolation like that in FAP versus non-FAP. Really, one needs to look at the spectrum of mutation and each has a different propensity to cause cardiomyopathy and each has a different sort of severity or outcome in cardiomyopathy range. So, you have mutations like V30M that can be associated with cardiomyopathy but tend to have run a slightly milder course and not lead to the rapid progression that some other mutations are associated with. For example, V122 ILE leads to a cardiomyopathy without much neuropathy and a fairly aggressive course of that cardiomyopathy. And then you have a mutation like T6DA which causes both severe cardiomyopathy and neuropathy. So, when we talk about a median survival of two and a half years in patients with cardiomyopathy, we're looking at a totality of all those data plus all those mutations. But within there, the mutations will have more aggressive cardiomyopathy and may or may not have neuropathy. So, it's a little bit complicated about trying to go through a spectrum of findings. Finally, I would add that the picture essentially is of a spectrum of neuropathy and cardiomyopathy in TTR-associated mutations and so in the APOLLO Phase 3 study for patisiran, 53% of the patients had both neuropathy and cardiomyopathy as part of their syndrome.
Operator: Thank you. Our next question comes from Ted Tenthoff from Piper Jaffray. Your line is open.
Ted Tenthoff: Appreciate the update on revusiran earlier and also the pipeline. Trying to get a sense of how you will be reporting the TTR subcu 02 or TTRsc02 data and sort of what the gaiting factors are for potentially advancing whether the just FAT or whether you would consider exploring that drug in cardiomyopathy patients as well?
John Maraganore: Yes, that's a great question, Ted. So, for starters, we plan on presenting the data at our R&D day. So, if you come to that event which I'm sure you will, we'll be presenting the Phase 1 data at that exact event. And then in terms the regulatory strategy there, clearly with FAP, with the polyneuropathy indication, we believe we can leverage the experience that we have with patisiran in APOLLO as the way that we would consider developing that drug. Cardiomyopathy now, of course, will require a completely different study and I think that we would want to understand what would happen with revusiran in the cardiomyopathy setting before we would boldly embark in a new cardiomyopathy study. So, that requires, in my opinion, better clarity around that path. Akshay, do you agree with that?
Akshay Vaishnaw: Yes. I think you covered it, John.
Ted Tenthoff: I think that makes a lot of sense. So, looking forward to the data updates.
Operator: Thank you. Our next question comes from Alan Carr from Needham Company. Your line is open.
Alan Carr: Can you clarify the number of deaths? Was it 16 and 2 or 17 and 2? It sounded like you found another one later.
John Maraganore: Yes, following the sweep of all the sites, it turned out to be 17 to 2.
Alan Carr: All right. And I'm wondering, given these two setbacks in the last few months, does that affect your all's strategy here in terms of adding more programs and that sort of thing? And I believe in the past you've talked about adding at least once a year a new program, bringing into clinical development. Is that impacted by what's happening in the last few months? And, also, can we have an update on the HBV program? Thanks.
John Maraganore: Well, look, we're going to be at our R&D on December 16 and obviously we'll provide guidance for the coming year as part of that. But I think that what we have in front of us right now is an amazingly compelling pipeline by our glances and with eight active clinical programs. And our nearest term focus right now is really on getting ready for NDA submissions and launch of patisiran, Phase 3 starts with fitusiran and Phase 3 starts with porphyria. And that's sort of our primary focus and so we'll go through that in great detail on December 16 at our R&D day. Regarding HBV, that Phase 1 study started during the quarter. We started dosing single ascending dose with volunteers and we'll be transitioning to patients in the coming period. So, that program is moving along. Now, obviously in volunteers we're only looking at safety, we're not looking at any element of effect because volunteers don't have HBV infection. But when we move to patients, we expect to see effects on surface antigen levels in patients infected with HBV and that will be a 2017 readout for that program.
Alan Carr: You might move into patients in the first half of 2017; is that the plan?
John Maraganore: In the coming period, Alan, is the answer right now. We should be within the next months or so.
Operator: Thank you. Our next question comes from Gena Wang from Jefferies. Your line is open.
Gena Wang: So, maybe just a quick follow-up on fitusiran in hemophilia. Wondering what range of ABR do you think would be competitive for patients with inhibitors?
John Maraganore: Look, it's a great question, Gena. If you look at the literature out there, prophylaxis that isn't commonly done in these patients with either FEIBA or [indiscernible], but the greater amount of data is with FEIBA achieves in ABR, a median ABR of 7 in patients with inhibitors. And patients that are on demand typically have ABRs that are in the 20s, if you look across the literature. So, we would be very satisfied to see ABR values that are in the low single digits, because that would be highly competitive and a profile that would be obviously, frankly, pretty transformational for patients with inhibitors. And I think for the most part that's a very competitive range. The lower the better, of course and we'll forward to updating you on that at ASH.
Gena Wang: Okay. So, when you say low single digit, are you we talking about 3 to 5?
John Maraganore: Well, low single digits to me is between 1 and 5, but, again, lower the better and we'll forward to presenting those data at ASH for you.
Gena Wang: And I have a quick question regarding the srr-9 sequence. So, for antitrypsin program, previously you mentioned that it is [indiscernible] sequence specific leading to the liver tox. For the TTR program, so the TTRsc02, they share the same sequence as revusiran, so the question here is how much do we know about the excessive tox and also is there a concern on TTRsc02 sequence?
John Maraganore: Yes. So, we have a lot of data, Gena, from our preclinical studies that is very, very clear that when you do observe a tox to FAP it tends to be, it's almost always sequence driven. And so we have that understanding from our preclinical studies and we believe that that's what is operative here in the case of the AAT program. The difference between revusiran and TTRsc02, of course, is, I think, a completely different topic, completely different matter. We don't really understand the revusiran story. The revusiran story was not about a liver toxicity. It was some other event that led to an imbalance in mortality. It had nothing to do with liver signal, per se. So, it's very different. And, of course, the big issue or the big -- not issue, but the big opportunity with TTRsc02 is that if we're able to achieve much lower dosing with less frequency, we should have an exposure difference that is huge compared to revusiran. So, that exposure difference, of course, is what gives us confidence in that program as being one that will advance forward and provide important benefit for patients.
Operator: Thank you. Our next question comes from Terence Flynn from Goldman Sachs. Your line is open.
Unidentified Analyst: This is Cameron filling in for Terence. I was just wondering for ALN-CC5, can you maybe remind us what's gaiting to starting the Phase 2 combo trial with Soliris by this year-end? Thanks.
John Maraganore: Yes. So, Cameron, thanks for that. Obviously, again, per Alan's question earlier, we will be updating everybody on our December 16 R&D day. We're going to be presenting new data at ASH from ALN-CC5 in patients that we're getting continue dosing with ecluzimab on top of ongoing ALN-CC5 pharmacology. I think those data will be of interest to people and we'll certainly look forward to presenting them. But I think in terms of guidance, our guidance has been to start that Phase 2 study by the end of the year and, of course, we'll also update people on our plans at our December 16 R&D day.
Operator: Thank you. Our next question comes from Michael King from JMP Securities. Your line is open.
Michael King: Real quick, just wanted to ask you regarding the EAP for patisiran. John, you used the term those patients who qualify. Can you talk about that and are those going to be patients that mimic the patients in the APOLLO study or do you think you might broaden it or modify it in any particular way?
Akshay Vaishnaw: Yes. I mean, essentially, Michael, these are patients that are similar in phenotype to what has been occurred in the APOLLO study, broad spectrum mutation, stage 1, stage 2 diseases that will range from single digits up to a significant double-digit number and they didn't get a chance to participate in APOLLO. Because for one or other reason they screen failed or they weren't diagnosed at that time or they didn't have access to a site. And, of course, as we know, this disease is certainly more prevalent than we previously thought. And so we think there will be a good number of eligible patients who unfortunately are progressing despite current available treatments for them and so may take part in this study.
Michael King: Will you take anybody that may have been on TTRRx?
Akshay Vaishnaw: You know, I outlined the inclusion/exclusion criteria, Michael, so let me leave it at that.
Michael King: Okay. And then just, Akshay, if I could just come back. I hate to keep coming back to revusiran, but I just had one question. You had mentioned, you used the term metabolically labile. I don't know if you can talk about that in the context of revusiran and particularly related to TTR02sc and what modifications or differences there might be that could reduce or eliminate any untoward [indiscernible]?
Akshay Vaishnaw: Yes. I would point to the fact that essentially between the standard template chemistry and the enhanced stabilization chemistry approaches, we use the same sort of menu of options in terms of the chemical modifications. And they comprise diet modifications, [indiscernible] modifications on the sugar or [indiscernible] changes. The big difference is that we learned from going from SEC to ESC, to use the modifications more strategically they would harm stabilization of the siRNA. Consequently the ESC is just a lot more stable in biological matrices and protected from these phases longer. As a consequence they are more potent and durable and we've shared many of those datasets resulting in our Phase 1 studies. Now, the issue of metabolic lability is that a drug like revusiran which was more susceptible to dose degradation and therefore needed to be dosed a lot higher, 500 milligrams weekly as opposed to 100, 200, 300 milligrams every three months or six months as we're noting with some of our other programs. Revusiran will generate a range of metabolite rapidly once it enters the system and so you won't find much [indiscernible] revusiran onboard. So, that's a different picture from the result with ESCs which are much more stable and will tend not to yield those metabolites and most of the drug or much of the drug will be excreted ultimately intact.
John Maraganore: Michael, we can estimate in broad terms that the overall exposure, then, is amplified -- overall exposure differences amplified significantly greater as it relates to metabolites. So, that, of course, is very encouraging for us if that were a reason for the revusiran safety findings, then of course their ESC platform we have much, much lower overall exposure which is very reassuring.
Operator: Thank you. Ladies and gentlemen, that does conclude our question-and-answer session for today's call. I would now like to turn the conference over to John Maraganore for any closing remarks.
John Maraganore: All right. Well, thanks, everyone, for joining us this afternoon. We expect the rest of 2016 to be very data-rich with important clinical results and we look forward to sharing them with you. Obviously, five separate programs will be discussed and I think this will highlight the opportunities in front of us. And, of course, finally as a person born in Chicago, I have to conclude by saying go Cubs! So, thank you. Bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.